Operator: Good day, and welcome to today's Colgate-Palmolive Company's Fourth Quarter and Fiscal Year-end 2010 Earnings Conference Call. [Operator Instructions] At this time, for opening remarks and introductions, I'd like to turn the call over to Senior Vice President of Investor Relations, Ms. Bina Thompson. Please go ahead.
Bina Thompson: Thank you, Katie. Good morning, everybody, and welcome to our Fourth Quarter and Full Year 2010 Earnings Release Conference Call. With me this morning are Ian Cook, Chairman, President and CEO; Steve Patrick, Vice Chairman; Dennis Hickey, CFO; and Elaine Paik, Treasurer. This conference call will include forward-looking statements. These statements are made on the basis of our views and assumptions as of this time and are not guarantees of future performance. Actual events or results may differ materially from these statements. For information about certain factors that could cause such differences, investors should consult to our most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions risk Factors and Cautionary Statements on Forward-looking Statements. We'll discuss our results and outlook, excluding the one-time charge of $271 million related to the transition to hyper inflationary accounting in Venezuela as of January 1, 2010, and the fourth quarter items described in the press release. We will also discuss organic sales growth, excluding foreign exchange, acquisitions and divestitures. A full reconciliation with the corresponding GAAP measures is included in the press release and is posted on the Investor Relations section of our website at www.colgate.com. And we'll be glad to answer any questions you may have, including or excluding these items as you wish. As we get started this morning, I want to put our fourth quarter in a more strategic context and share our thoughts going forward. You'll see, as I review the divisions, that our market shares are very healthy around the world, and especially in the emerging markets, which represent over half of our business. We continue to perform well, given the current competitive and economic challenges, and are committed to investing in growing our business and expanding our strong market share position. As you read in the press release, the fourth quarter included multiple unusual items, all of which are offsetting in net income and earnings per share. We had the sale of brands in Latin America and the savings from a non-recurring tax project. While our tax rate each year benefits from global tax strategies, this initiative capitalize on a highly unique set of events and circumstances related to the combination of both Venezuela being considered hyperinflationary effective January 1, 2010, and the subsequent devaluation on January 8, 2010. By re-organizing the U.S. tax status as CP Venezuela, we were able to capitalize on these unique events and realized a one-time non-recurring tax benefit. These projects have allowed for a one-time charge resulting from termination benefits related to ongoing overhead reduction initiatives. This charge will allow for savings to be generated in 2011 and beyond, which will be used to reinvest behind our business. Excluding these items, operating profit was down 5% mostly due to the Venezuelan devaluation, and we've added a new Table 9, which reconciles our tax rate to 32.5%. And while our fourth quarter volume was below our longer-term targets, namely as a result of a sluggish growth in the developed world, our expectation is that we will return to the mid-single-digit range for 2011. We're pleased with our strong innovation stream plan for the year. And although the year has just begun, we're encouraged by the results so far. The decline in gross margin of 40 basis points in the fourth quarter was due almost exclusively to the continued increase in commodity costs that we and others in the industry began to face in the second half of 2010. Going forward, we expect to be able to offset those cost increases. We have begun to implement price increases, particularly in the emerging markets. In addition, our Funding the Growth program remains very strong and is getting broader. We've talked to you before about SKU rationalization and formula harmonization, among other programs, and we see meaningful opportunities for savings in this area. For 2011, we expect margin to increase sequentially throughout the year. We also expect to achieve savings in our overhead expenses reflected in SG&A. For instance, savings from indirect materials now represent almost half of our total procurement savings, and we see more opportunities here. Areas such as media production, merchandising, outside market and clinical research, just to name a few. In addition, as you read in the press release, in the fourth quarter, we funded some overhead reduction initiatives at Hill's and in Europe with the gain on the sale of non-core brands. And also last year, we implemented the shared services operation in Europe, which has only begun to deliver significant savings. We expect to continue to fund other overhead reduction opportunities as they arise, which should keep us competitive in terms of our cost structure and allow us to reinvest additional savings into the business. Our worldwide implementation of SAP is another area of focus as we move to very important next-generation applications. The latest upgrade in demand planning will allow us to take planning of inventory, production and distribution to the next level, which should result in reduced inventory levels and an improved manufacturing asset utilization and customer service. The ability for supply chain and commercial operations to better synchronize supply and demand will enable us to respond more quickly to cost savings opportunities. Innovation remains key, and our product pipeline is robust. For Colgate Sensitive Pro release, which is in the second era of our worldwide rollout, we have plans to enhance our communications to our consumer, expand the product portfolio and maintain strong advertising support. We are also in the midst of a worldwide relaunch of Colgate Total. New graphics and structure have tested very well, showing potential for increased purchase intent. We are expanding our professional campaigns to scientific publications and have extended our patent protection for the range. Here in the U.S., the early results are very encouraging. With our new product initiatives span all of our categories, with some particularly successful examples in our Hill's Pet Nutrition business, and you'll hear more about these as we go forward. And finally, our leadership team is focused on the quality of our execution on the ground. As you know, for 2011, we plan increased investment levels in advertising as we seek to deliver solid volume growth and market share behind a robust pipeline of new products, as well as our base business. This, coupled with our commitment to increasing gross margin and reducing fixed expenses, positions us well to deliver mid-single-digit profit growth. Our balance sheet and cash flow remained strong, giving us ample ability to fund our dividend payments as well as our share repurchase program. So let's look briefly at some of the success we are having in the divisions. Starting with North America. This part of the world remains highly competitive with continued sluggishness in category growth rates. We're very encouraged, however, by several new entries in toothpaste, as well as other categories. To ensure their success, we've also budgeted a meaningful increase in advertising as well as in-store support for this year. The relaunch of Colgate Total toothpaste, which started shipping in November of last year, has resulted in both increased sales and market share for the franchise. This quarter, we've added Colgate Total gum defense, which will be accompanied by a refreshed version of our "Seeing is Believing" campaign, leveraging our unique FDA-approved claim. In the Home Care category, we're very excited about the launch of our new Palmolive antibacterial dishwashing liquid, the only one that is approved to kill 99.9% of E. coli, Salmonella and Staph on dishes in seconds. Previous products were only approved to fight bacteria on hand, not dishes. This will, as you would expect, be supported by a robust integrated marketing campaign, spanning the general, as well as Hispanic markets. In Canada, our launch of Colgate Sensitive Pro-Relief has been extremely successful. It is now the number one selling SKU, and we're getting quality support from our top customers. In addition, it is resulting in an increased professional endorsements. Not surprisingly, our number one competitor has reacted with deep discounting, but as that subsides, they have lost market share. As in other countries around the world, the launch of Colgate Sensitive Pro-Relief has expanded the entire sensitivity category. Looking ahead, volume in North America is expected to be up modestly in the first quarter and up mid single-digits for the full year, with organic sales expected to decline modestly in the first quarter and increase low single-digits for the full-year. Operating profit is expected to be down in the first quarter and should be flat for the full year. Turning then to Europe. As you know, the macroeconomic conditions in this region have been very tenuous. Although fragile, there is an improving trend in GDP growth, but the recovery remains uneven between countries. We see stronger growth in France, Italy, the U.K. and especially in Germany, where 2010 GDP is expected to be 3.6%, the highest level since reunification. That is not yet translated into much growth in our categories, but it is perhaps assigned for eventual acceleration. Pleasingly, however, our share performance continues to be strong. The new products referenced in the press release have contributed to the share gains. Market shares are up in toothpaste, manual and battery powered brushes, mouthwash and fabric softener, and stable and liquid hand soaps, bar soaps and liquid cleaner. Our largest European subsidiary, France, is driving toothpaste growth, while the northern countries are driving growth in the battery-powered toothbrush segment. Across the region, Colgate is driving growth in the Oral Care category way ahead of any of its competitors, and the only one growing in every subsegment. Colgate Sensitive Pro-Relief is performing well across the region. It has increased our share of the sensitive segment from 9% to 14% and has helped us gain leadership in this segment in Greece. Germany has driven performance in liquid hand soap behind our new authentics line, which is in its early stages of launch, but shows very high incrementality. Authentics leverages the Palmolive equity heritage with great Mediterranean inspired fragrances and ingredients. This is a great example of a new product developed in our category innovation center in Rome, drawing on key insights from local consumer preferences. Looking ahead, volume in Europe is expected to be up modestly in the first quarter and up low to mid-single digits for the full-year. Organic sales are expected to be slightly down in the first quarter and should be up in line with volume for the full-year. Operating profit is expected to be down mid-single digits for the first quarter and should be up high single digits for the full year, up absolutely and as a percent of sales. Latin America. Our business in this region remained strong. Year-to-date, our market shares have increased in toothpaste, toothbrushes, mouthwash, bar soaps and underarm protection and are stable in the dish liquid category. The below average volume trend was due in part to our business in Venezuela and also to a particular situation in Brazil. Fourth quarter volume in Brazil decreased high single-digits versus the difficult comparison against the double-digit increase in 2009, as increased promotional volume was shipped during the fourth quarter of 2009 in preparation for strong market activity in the first quarter of 2010. It's important to note that absent the one-time situation in Brazil, Brazilian business itself is doing very well, with gains in market shares across categories and, importantly, in the premium segments. Our strong toothpaste share was already referenced in the press release. Premium priced Colgate total toothpaste has been a major contributor. In toothbrushes, our high-end Colgate 360° toothbrush has helped increase our leading toothbrush share, up almost two full points on a year-to-date basis. And our premium offering in the bar soap category, Protex, has helped increase share. Protex share in Brazil is at record levels following a hand washing campaign conducted in association with the Ministry of Health. In addition, we've gained professional endorsement from the Brazilian Dermatological Association for Protex. In Mexico, despite heavy promotional spending by competitors, our toothpaste share is still well over 80%. Likewise, despite heavy dealing by competitors in the toothbrush category, we've been able to continue to grow our toothpaste share, up over three points on a year-to-date basis to a record 41.8%, with the most recent share at 43.2%, which gives us volume leadership in that country. In Mexico, shares also increased in mouthwash, bar soaps and shampoos while we maintained our number one positions in dishwashing liquid and fabric softeners. Looking ahead, volume in Latin America is expected to be up slightly in the first quarter and up low single-digit for the full year. Organic sales are expected to grow at mid-single-digit for the first quarter and high single-digit for the full year. Operating profit is expected to decline mid-single-digit for first quarter and should be up double-digit for the full-year, up absolutely and as a percent of sales. Greater Asia/Africa. Business in this region continues to be robust. Our Oral Care market shares are strong. In addition to the good performance in India referenced in the press release, our toothpaste market share in China was up a full point from the year-ago period. Premium brands are driving growth in this vast country. Colgate Sensitive Pro-Relief, launched in key cities, already has almost 1.5 a share. Colgate Sensitive Pro-Relief is also meeting with good success elsewhere in the region, with particularly strong performance in Taiwan, Hong Kong, Singapore and Turkey. Our regional toothbrush share is up almost half a point, maintaining our market leadership position. In India, our toothpaste share is up a full point on a year-to-date basis to over 39%. In Turkey, our toothbrush share grew five full points to 24.3% with the latest read at 26.1%. And we continue to grow our mouthwash business as well, with gains in virtually every country where it is sold. Notably in Malaysia, our share was up 550 basis points to 17%, a record share, with the most recent period at 19.2%. And in the key cities of China, our mouthwash share climbed almost six full points to 30.8% with the most recent read at 32%. In the shower gel category, new products under the Palmolive equity helps grow share in markets such as Russia and Turkey with the year-to-date shares at 27.5% and 39.8% respectively. So looking ahead, volume in Greater Asia/Africa is expected to grow double-digit for the first quarter and full year with similar organic sales growth rate. Operating profit is expected to grow double-digit for the first quarter, down modestly as a percent of sales. For the full year, operating profit is expected to grow double-digit, up absolutely and as a percent of sales. And Hill's. The Hill's business is beginning to show signs of improvement. As we have said, our plan was to correct pricing and sizing in the market, and then back that with stepped up innovation, and that is indeed happening. Towards the end of the year, we saw not only unit consumption increase year-over-year, but as we exited 2010, we also saw volume increases. New products, such as Science Diet Healthy Mobility and our Small and Toy Breed initiatives, represented almost 4% of the business in the fourth quarter versus less than 1% a year ago. And this new product phase will continue. In the first quarter of 2011, we launched Science Diet Weight Loss System in the U.S. Initial shipments exceeded our estimates by over 30%. A full integrated marketing campaign is being rolled out in the first quarter, including social media and PR using Alison Sweeney, host of the TV program, The Biggest Loser, as a spokesperson. In Europe, last year's launch of Science Plan VetEssentials has resulted an increased market share and an increase of two points in brand recommended most often to 27%, the first increase in three years. Building on our European success, we launched a similar veterinary exclusive product here in the U.S. in the first quarter, Science Diet Healthy Advantage. The reception at veterinary congresses across the country has been exceptional. Our messaging of best preventive vet nutrition has been well understood. So looking ahead, volume at Hill's is expected to be up modestly in the first quarter and low to mid-single-digit for the full-year. Organic sales should be flat in the first quarter and up mid-single-digit for the full-year. Operating profit is expected to decline modestly in the first quarter but should be up modestly for the full year. So in summary, we are looking forward to a strong year of investment and volume growth and continued accelerations in our market shares worldwide. Our leadership team is committed to winning on the ground, with superior execution behind an ever-increasing flow of innovative new products. We have a full pipeline of new products spanning all price points to enable us to succeed in developed and emerging markets alike. And we look forward to sharing our results as we go through the year. So now, Katie, I would like to turn it over to the Q&A session.
Operator: [Operator Instructions] We'll go first to Tim Conder with Wells Fargo.
Timothy Conder - Wells Fargo Securities, LLC: Could you give us where your R&D spend as a percent of sales was for 2010? And then, maybe your thoughts and plans going forward with R&D plans as a percent of sales and how that feeds in the new product pipeline?
Ian Cook: We haven't, over the years, tended to quote that number, Tim. This year is in line with history. By this year, I mean 2010. And interestingly, 2011, the ratio is modestly up. But I think the more important way to think about it is what is the profile of the innovation that we are producing to put behind our business. Now some of that is internally generated by our R&D organization, and some of that is technology that we scout and acquire externally and bring into the company. Indeed, the Pro-Argin 9 that drives the successful Pro-Relief product was one such where because of our very strong external relationships in the world of academia and also scientific development in oral care, people tend to come to us with technologies that can be new to the category. So you have to look at both. And we are very connected externally to access, not just what we can develop, but what we can bring in from the outside world.
Operator: We'll take our next question from Mark Astrachan from Stifel Nicolaus.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: Quick clarification and then a question. Brazil numbers, Bina, would they be up year-on-year, excluding the one-time situation that you described? And then, switching to the Hill's business. Given some of the supply chain disruptions by one of your competitors, I'm just curious how much of an impact that was, and frankly, I would have thought maybe the business would have been performing a bit better. So I'm just curious about how you sort of support your belief that we're going to continue to see that business produce at better levels versus what we saw in the first half of 2010?
Ian Cook: The answer to the first is yes. The answer to the second is that as we track the Hill's business, you will remember that our distribution of the Hill's products is restricted in terms of the channels that we make our products available to consumers in, and that is pet shops, that is vet clinics and also the PETCOs and the PetSmarts. So in terms of many of our competitors who have far broader distribution, you don't benefit as much if there is marketplace interruption because our distribution is more limited. So we don't think that has disproportionately affected the flat performance consumption-wise we saw in our U.S. business. What we are pleased about, and when we talked about the journey we were on with the Hill's business, we said we needed to resize and reprice to be competitive. And we completed that in the second half of last year. But we said what would re-establish volume growth in the business would be a strengthening innovation stream. And that, we are indeed seeing, starting with the small pet mobility product we had in the second half of 2010, and more importantly, the weight control and VetEssentials products that we just brought to the United States Hill's business beginning this quarter. And all I would say is the start we have seen this year continues what we began to see towards the end of the fourth quarter and gives us conviction that the growth will come from having the right pricing relationship with our competitors, but more importantly, the right innovation to drive growth.
Operator: We'll take our next question from Ali Dibadj with Bernstein.
Ali Dibadj - Bernstein Research: Wanted to ask about gross margins in particular, and I guess permission in understanding the context of we still think gross margins are going to be up, given what's going on with commodities. And if you think back to, I think with Q4 '08 and commodities were up, at least our numbers are about 600 basis points or so, remember our discussion about most of that was from Hill's, even though at that point, you're able to take double-digit 12% to 15%, say, pricing in that business. Now that the same commodity, the act commodity in particular, are up dramatically, and there I think you might not have the same opportunity to take prices up to offset in Hill's, how should we think about how you're going to deal with that, how you're going to offset it? I guess that's the first part of the question.
Ian Cook: Let me start with the gross profit in the fourth quarter and then try and build my way out into 2011, and put it in the context of how we're thinking about it. Fourth quarter gross margin, as you obviously saw, was down some 40 basis points, modest compared to some others, but nonetheless still down. And obviously, as you have seen and just said, what we see in the commodities market is an acceleration of the pricing pressure that began in the third quarter. So the fourth quarter was even stiffer. And if we work our way through the gross margins, fourth quarter 2009 gross margin was 59.5, material prices were a headwind of about 260 basis points to gross profit in the fourth quarter. And we offset a substantial portion of that with Funding the Growth savings of about 240 basis points. And then, there were other mixed divestiture changes and 0.1% on pricing, which gets you to the 40 basis points. So despite our strongest Funding the Growth savings program in the fourth quarter, we weren't completely able to offset gross margin. Now when you look forward to 2011, we had on the last call said that our preliminary indications across the entire company, including Hill's, was that the increase in commodities would be between 4% and 6%. As the fourth quarter evolve, it is clear that, that increase will be more order of magnitude between 8% and 10%. We have a very robust Funding the Growth savings program lined up for 2010. I will come back to pricing in a moment. But that, in combination with pricing, has us confident that we can increase the gross margin of the company between 30 and 50 basis points. But as we also have said before, Ali, our focus is not just on savings in the area of materials that go into product. Our focus is also on savings in the so-called indirect areas, as Bina mentioned, and we have a very sharp focus on that for 2011. As Bina also mentioned, part of the one-time that we benefited from in the fourth quarter, we used to continue to execute our overhead reduction initiatives, particularly in North America with Hill's and in our European operations, thereby, giving us overhead benefit, which can also help us in terms of delivering investment funding and the bottom line. In terms of pricing, the kind of pricing that we are thinking of in the context of what our competitors have been saying is obviously the pricing will be appropriate. It will be consistent with what we see happening in the marketplace. We have already begun to price against transaction and commodity effects in the emerging markets. But the kind of price shift that we expect in 2011 is going to be more in the 1% to 2% range rather than what we saw at the time of the subprime, and we see that in harmony with what happens in the marketplace. And as we think about our gross margin expansion on the year, our view is that the first quarter will be at about the same level as this quarter, and then we will see sequential improvement across the balance of the year. So it's pricing, but lesser pricing in line with the marketplace. It's a continued sharp focus on funding the growth. And it's building out our initiatives in indirects and overheads, which we began in the fourth quarter.
Operator: We'll take our next question from Bill Chapell with SunTrust.
William Chappell - SunTrust Robinson Humphrey Capital Markets: It's actually just more of housekeeping items. On the share repurchase, it looks like you did about $160 million worth in 2010, is that right? And is that kind of what we should be looking at for 2011, or are there other better uses of cash? Are you thinking about stepping that up? And then the other housekeeping is can you give us, you might have already done this, an effective tax rate for 2011? And I'm assuming there is nothing else in Venezuela coming.
Ian Cook: Okay, let me take your questions in the Venezuela, Bill, I guess. The first is that actually, our share buybacks in 2010 were just under $2 billion, and part of that reflects the very strong cash that we have been delivering over the last couple of years, holding this year at basically the same very elevated level we delivered in 2009. And our expectation going forward, as Bina said, is the cash we're delivering gives us a confidence to continue the dividends that we have paid consistently and increased consistently for a long, long time. And also, at this stage, we'd see our share buybacks in the same $1.8 billion to $2 billion range, as we enjoyed in 2010. And then turning to your second point in terms of effective tax rate for 2011, as we were very anxious to make clear, and there is a full reconciliation with the earnings release note, the tax benefits we enjoyed in the fourth quarter related to Venezuela were one-time non recurring. So we do not expect to see them again, obviously, in 2011 and are saying that we expect our tax rate to be between 31.5% and 32.5% in 2011.
Operator: We'll take our next question from Doug Lane from Jefferies & Company.
Douglas Lane - Jefferies & Company, Inc.: You had talked about the commodity cost environment apparently deteriorating since we talked in late October. Can you give us an update on the promotional environment, maybe region by region? Where it stands today versus where you thought it would be on the third quarter release?
Ian Cook: Frankly, it's kind of where we thought it would be. You will remember, despite a lot of chatter in the marketplace, that promotional activity was easing and that competitors were taking pricing, given particularly in the developed world, the slow rate or muted rate of market growth, it was our sense that promotional activity would not lessen, and depending on what part of the world you go to, we do not see, did not see in the fourth quarter any pullback in that rate of activity. Now there has been a lot of commentary about the need to take pricing and pricing action that will be taken in the marketplace. And as I said earlier, it is very much our intention, given the commodity costs that all companies face, that we will clearly be moving our pricing in line with the marketplace, and that will be driven by less price increases and reduction of activity to the extent that we see it in the marketplace. But the fourth quarter, we did not see a material easing of the competitive landscape.
Operator: We'll take our next question from Chris Ferrara with Bank of America Merrill Lynch.
Christopher Ferrara - BofA Merrill Lynch: Guys, it looks like, I guess, North America organic sales obviously came in at a little bit light of what you guys have thought it was going to come in a couple of months ago. It seems like it's non Oral Care. I mean, the toothpaste in the scanner data, which isn't everything, I know, but the category is up significantly. You guys are up significantly. A, is it right that it's dish soap that's driving this and other soaps? And B, and how bad is it, and what's the plan to get those numbers improved considering how -- it looks like Oral Care is doing pretty well and it's not the problem in North America?
Ian Cook: You're right. The fact of the matter is that the primary category that we need to focus on in the United states is dish liquid. You have heard many times the introduction of a second brand by the other principal competitor in that category at a lower price point. And we have responded to that in terms of a complete upgrade of our dish liquid line, including resizing, to make ours adequately competitive in the marketplace. And then I think very importantly, with the two new innovations that Bina mentioned just coming to the marketplace, an antibacterial dish liquid approved to make claims that it is the only one to kill germs on dishes, in other words, the hygiene platform. And a hand caring product, which is entirely consistent with the heritage of the Palmolive brand, we see that putting us back on track and recovering our momentum in that business. And it is that business that we need to see recovered momentum in North America, as you say.
Operator: We'll go next to Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG: Just looking at some of the category growth rates, especially in Latin America, they seem pretty awful. I mean, is there an explanation for that? I mean, there is some sort of average sign price deflation going on. But people aren't not brushing their teeth and they are certainly not buying toothbrushes. So how will you explain that?
Ian Cook: I don't know what data have you -- we can do it off-line, Bill. But we see category growth rates in Latin America, obviously, with the exception of Venezuela, that are pretty good. Mid-single-digits across most of the geography. We see it across the markets, Mexico, Brazil, Columbia. So we see the category growth rates as pretty robust in Latin America, as I say, mid-single-digits. High single-digits in Asia on a value basis. I'm talking value here. And of course, more usage growth in North America and Europe.
Operator: We'll go next to Henry Capellan of Oppenheimer.
Henry Capellan: I guess two questions I have is, one, you mentioned taking price increases towards that commodity cost inflation, particularly in emerging markets. And I wanted to know what you had expected, what you had baked in terms of category growth for those regions as a result of this higher pricing? And then the second question was if you had an update on the Colgate Sensitive Pro-Relief and the timeframe for entering the U.S. market?
Ian Cook: Pricing is not a new phenomenon in the emerging markets. And over the past three years, we have seen pricing in the emerging markets. And the markets have proven resistant in terms of growth. The kinds of levels of pricing that we are talking about, even with the commodity increase that I mentioned to you is substantially less than the pricing taken during the subprime/commodity years, and will be done appropriately, intelligently, in line with marketplace moves that we see. And therefore, we do not see a significant, indeed, any impact of that modest pricing on the growth rates we're seeing in the emerging markets. In terms of Pro-Relief, we continue to be quite pleased with our progress, delivering, approaching a 2% market share in the countries in which we compete with Pro-Relief today, which is about 75% of that category on a world basis, about $1 billion segment. We are seeing our recommendation levels from dental professionals, so important to changing habit in that category building. And in some markets, Brazil would be one, already exceeding that of a long-established marketplace leader. And relative to the United States, we continue to be in discussion with the FDA, and we expect to get approval any time between the next year and three years, depending on what the course of action is there. Now we have a sensitivity offering in the United States as to other competitors. It is not as good technology nor the other competitors as we believe Pro-Relief to be. And in the U.S. marketplace, we're already coming to the market with three new innovations on toothpaste and three new innovations on toothbrush to accelerate our expansion in both those segments. So we're not waiting for Pro-Relief. Even though we believe deeply in the technology, we continue to drive our business in appropriate ways, with appropriate innovation in the U.S. while we continue to build what we believe to be world-leading technology in the area of sensitivity relief around the world. You may remember that when we launched Total in the United States, it was several years after we had built a position internationally, and I guess the silver lining was that the dental professionals in the United States by that time had heard so much about the performance of the product that they were ready to accept us. Hopefully, we can do the same job with Pro-Relief in the United States.
Operator: We'll onto Andrew Sawyer with Goldman Sachs.
Andrew Sawyer - Goldman Sachs Group Inc.: I was hoping maybe you could flesh out a little more how the growth rates look globally by segment? How did Oral Care look versus Home Care versus Personal Care? And maybe as part of that, it seems, at least in the U.S. data and maybe just build on Chris' question, that most of the defensive spending to date has gone behind Oral Care. Is that something that's true globally? And as we look into 2011, how should we think about your offensive spending and ad spending, and how that's allocated across the different sub businesses?
Ian Cook: Let me address your first point, Andrew, which is the growth rate. Now when you say growth rate, you're talking about our growth rate, I assume. So if we take Oral Care, our growth rate has been around mid-single-digits for Oral Care-- it's high single-digits for the year. Personal Care has been low single-digits and Home Care slightly lower than that. So the leading business for us has been Oral Care, around 7% plus, Personal Care around 3%, and Home Care between 1% and 2%. That's what we've seen. And depending on geographies around the world and depending on the categories, often there is a very U.S. focus to these kinds of comments. The spending internationally has been appropriately behind Oral Care, and we have seen that in our market shares. We have seen our China market share up a point, with the competitor down 10%. We've seen our Brazilian market share up over 70%. We've seen our leadership share in Russia hold. We have seen our share in India continue to rise beyond 50%, all strong leadership shares. We see our share in Mexico at around 83%, the competitor having built to around about 11%. But unlike history, where that 11%, as I have mentioned before, prepped to 13%, seems to be plateauing at around 11%, and we seem to be plateauing at around 83%, which is encouraging. So we have seen good reaction to the money we put behind Oral Care. But internationally, the spending has gone more broadly than Oral Care, and we'll continue to do that in 2011. And in the United States, frankly, until we got the sizing right on dish, until we have the right innovation to put behind the dish liquid business, we kept our powder dry. And that business will receive its appropriate share of support behind what we now believe to be an appropriate action program in 2011. So continued on Oral Care, but broader.
Operator: We'll go back to Lauren Lieberman, Barclays Capital.
Lauren Lieberman - Barclays Capital: What I was going to ask was if you could just help us first with the impact of Venezuela on Latin America this quarter? So last year, you've given us a sense for just how much of a drag it was on volumes.
Ian Cook: We had tended not to do that, Lauren. But I would say, as the year has evolved, the impact has become lesser. So I wouldn't call it out as a significant factor.
Operator: We'll go next to Connie Maneaty with BMO Capital Markets.
Constance Maneaty - BMO Capital Markets U.S.: I have a follow-up question on Venezuela. You highlighted in your press release about the devaluation that was announced in December, that it reduced your operating profits from the re-measurement. Did you know that devaluation was coming? Because, otherwise, if it was announced on December 30, how could you have a related tax benefit on your books on December 31? Can you just walk us through the timing? What you saw coming? How you planned for it? And then, also what rate will you be using going forward?
Ian Cook: We didn't know it was coming, Connie, or that we did, so we did not know. You have to -- the tax initiative that we -- two separate things, I guess. We had the one-time non-recurring tax program, which frankly, had started long before the fourth quarter but was executed in the fourth quarter. What happened in terms of the re-measurement devaluation, it was offset by tax accrued for repatriated funds, that we thought we would get at the lower rate, and therefore, have a higher tax. So they were basically offsetting. So they are two separate things. As we think about Venezuela going forward, we will, of course, continue to manage the business and report the business at the 4.3 official rate, except our assumption in the budget now is that we will be acquiring raw materials at the 4.3 rate, not the 2.6 rate, and that was already assumed in our budget planning.
Operator: We'll go next to Alec Patterson with RCM.
Alec Patterson - RCM: Just trying to get my hands around the gross margin algorithm outlook. You walked through, you've got funding the growth and raw materials and all this. Raw material component, it sounds like you've got probably like a 400 basis point headwind to manage through this year, if I'm just taking your raw material inflation number and flowing it through your gross margin. So could you talk about that? And then the pricing, it sounds like it's kind of back half weighted. It's definitely emerging market weighted. So here in the first half, I'm just trying to get comfortable around how you are managing to keep gross margin sequentially flat? Funding the Growth must be stepping up dramatically.
Ian Cook: Yes, we are putting a significant focus on Funding the Growth going forward, as I've tried to say earlier. And we have goals for 2011 that are significant and higher than 2010. We expect pricing, as you say, to start to influence the equation in the second quarter, but not the first. And whilst I said we have started taking pricing in the emerging markets now, depending on where the commodity prices take us, again, appropriately and in line with what we see happening from a competitive point of view in the marketplace, you may well see pricing in the developed world as well. Remember, all of these commodity pressures are being felt by everyone. What gives us some encouragement is that if we look sequentially through 2010, and if you track back to the margin roll forward we had talked about over each of the preceding quarters, our Funding the Growth savings stepped up quarter-on-quarter, and indeed, we ended up exiting the year with one of the strongest portfolios we have had for a long time. So we feel good about the breadth of our Funding the Growth, with the pricing on top and in expansion range that is more in that 30 to 50 basis points increase, which is why I talked so about the focus on indirects and our overhead structure, starting with the actions we took this quarter and clearly, looking to do more as the year unfolds.
Operator: We'll go next to John San Marco with Janney Capital Markets.
John San Marco - Janney Montgomery Scott LLC: I was just hoping to follow up on Brazil with a couple of more details. Can you tell us how takeaway compared to your shipment volume if you haven't already? And how you think Brazilian retail inventories compared today versus three months ago and a year ago?
Ian Cook: Yes, I think -- and that's exactly the point. Compared to the year ago, the inventories are down because we were building inventory for the market expansion that we were expecting from the competitor that announced. So it was a very conscious decision. We wanted to do what was right by the marketplace and by adjusting our shipments to the consumption, which remain strong. No change in the consumption pace in Brazil. We have seen the inventories come down on that year-on-year comparison and feel good about the way we are stepping into 2011.
Operator: We'll go next to Nik Modi with UBS.
Nik Modi - UBS Investment Bank: Ian, just a quick question on Latin America in terms of the profit growth. It looks like you're looking for a nice size increase on the margins for the year. Can you just give us some perspective, if given the first quarter guidance? Is there something specific going on in the back half of the year in terms of cost saves? Or is this just a function of easier comparisons?
Ian Cook: You're talking gross margin?
Nik Modi - UBS Investment Bank: I'm talking on the profit growth that Bina cited in her remarks.
Ian Cook: Well, the profit growth in terms of returns for the year is basically at this year's level. For the first quarter, on a dollar basis, we see the profits at around last year's level.
Operator: We'll go next to Caroline Levy with CLSA.
Caroline Levy - Credit Agricole Securities (USA) Inc.: I'm just looking at Latin America in particular, and the Venezuela situation makes things difficult to understand. But if you look historically, you've actually always been able to more than offset any devaluation with pricing. And going forward, do you expect to be able to do that? How should we think about pricing in Latin America versus history?
Ian Cook: We, I think, have demonstrated an ability to take pricing in emerging markets, particularly where transaction costs and, indeed, commodity costs have impacted the cost of goods sold for the company and an ability to take pricing in those emerging markets in order to offset them. We see that continuing to be our strategy in 2011. We see a continued ability to take pricing in Latin America. Now obviously, part of that pricing is related specifically to Venezuela, as I've mentioned earlier, which you're are right, have potentially clouds the situation. But we see ourselves taking pricing more broadly than that. And we see ourselves with the ability to expand, which is to say increase gross margin in Latin America, consistent, if not, slightly ahead the rest of the world.
Operator: We'll take our next question from John Faucher with JPMorgan.
John Faucher - JP Morgan Chase & Co: Procter seems to indicate that things have slowed a little bit over the course of the quarter, at least falling off towards the end of the quarter, and I apologize if you've mentioned this already. But did you see any trends through the quarter? And did that vary necessarily by geography, what have you?
Ian Cook: John, I sort of mentioned that in passing, but I guess bears repeating. If you take sort of a 60,000-foot view of the world, what we're seeing on a value basis in terms of category growth rates is the Asian markets continuing to be robust with high single-digit growth, 8% plus. Latin America, high single-digit growth, but slightly lower pace than Asia. And indeed, in Europe and North America, the range of growth is substantially lower than the emerging markets depending on the category and the geography between a 0% and a 1% category growth rate, which is why our share progress in Europe is encouraging. And I must say that was slightly shy of where we had thought the categories would be going into the quarter.
Operator: We'll take our next question from Alice Longley with Buckingham Research.
Alice Longley - Buckingham Research Group, Inc.: Just using some of the guidance that, Bina, you gave out. I don't know quite how to read the slide modestly. But it looks like you're expecting organic sales growth in the first quarter to be a little better than in the fourth quarter, like 2% to 3%, is that accurate?
Ian Cook: If we look at the total company, that would indeed be accurate. Remembering that, that is up against a strong first quarter of 2010. But to answer your question, the answer is yes.
Operator: We'll take our next question from Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C.: I was just wondering if you could talk broadly for a minute again about the M&A environment and whether there is any heightened interest or lessened interest when you look at acquisitions?
Ian Cook: I would say there is the same intense interest that we have always had. I think you know the company's philosophy, which is to say, that when we think about growing our business, we think about organically we growing the business. We do not rely or count on acquisition to deliver a growth rate. So everything that we have talked about today in the mid-single-digits, we have talked about today are growing the business that we have today. Now when we think about M&A, we view M&A, without being too trite, as exclusively a strategic endeavor. Something that can strengthen our category position for the long term, not something to increase the pace of a sales line. And then, of course, the other end of that book end is that, and I think you know this by our stance over many years, is that we are very disciplined on the valuation process that we adopt to assess what we are prepared to pay for an acquisition. And whilst over the years we have done many that have strengthened the company, and we have been prepared to pass when we think the valuation is too high. So we remain as open as we have always been to the right strategic acquisition at the right price, but our stance has not changed versus our sales guidance.
Operator: We'll go next to Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC: Just wanted to ask you a quick question on Asia Pacific. Continue to be impressed by the strength that you have and your trends in that region. So I'm just wondering if you could kind of look at the next few years out? I mean, do you believe that we could ever, we could see the sustainability kind of in the high single-digit trends? Can you, I guess, put into perspective the level of penetration that's still out there in some of these markets?
Ian Cook: Well, I think, again, without being too trite, I think the answer is a strong yes. We have seen these growth rates over a fairly extended period, even through the worst of the subprime in Asia. You do all of the math about the emerging middle class, you look at the penetration levels in different countries and you look at the usage, which oftentimes is, even if the penetration is low, the usage is only one time a day. So again, without being trite, we are strategically very confident that there is robust growth in those geographies over an extended period of time.
Operator: We'll take our next question from John McMillin with Lord Abbett.
John McMillin - Prudential Equity: Did you say anything about triclosan, if I'm pronouncing it right? I mean, I read the story in Advertising Age, and it did, I just don't know if it's a real fear for Total brand, for the Total?
Ian Cook: Yes, as you well know, John, that ingredient in the United States was approved by the Food and Drug Administration as being safe and effective. It's clinically proven to reduce gingivitis in a toothpaste. And we continue to have full confidence and belief behind that product. Now some of our competitors use that ingredient in other products, like dish liquid. We, from an innovation point of view, found an even better formula with the lactic acid that we are bringing to the marketplace today, which actually kills the germs on the dishes. So after 20 years of use in our segment, all of the inspection the ingredient has gone under, all of the government reviews it has endured, we are confident, as the government seem to be confident, in the safety and efficacy of the product, particularly given the disease condition it controls that other products don't.
Operator: We will take our final question from Ali Dibadj with Bernstein.
Ali Dibadj - Bernstein Research: I'm having trouble kind on how to ask this question. But what I'm trying to get underneath is how you see, given your experience, the kind of competitive environment going forward? Because we are hearing for sure, and I've been surprised this morning in particular about the upping the ante from a kind of taunting or fighting words perspective about share gains here and there with your major competitor, or heavy dealings and high promotions and deep discounting versus this hope that with commodity prices, we can raise pricing, assuming that the consumer can take it, as well as a little bit of an underlying piece there, which is that, as you mentioned, some of your competitors' share gains are plateauing. So is there going to be more pricing promotions? Is there going to be more aggressiveness and we are kind of leave commodities fall the way they may? How do you guys see this? How do you anticipate this evolution of a competitor environment that frankly, over the past couple of years, has made your sector, this sector, our sector, somewhat uninvestable? So any guidance there would be really helpful.
Ian Cook: I guess, over the years, although, frankly, it has not been fashionable, we had taken the stance that we took the role of the business to be to grow the top line and the bottom line. And as we said coming out of the third quarter, we found ourselves in a position where we felt a need behind a strong innovation stream to up our intensity to recover a pace of growth that we believe we can deliver for the long term. Our philosophical belief is that the right way to do that is by creating value that the consumer is prepared to pay for and to gain trial of those products by innovative marketing techniques and not by price. So to the extent that the economic landscape in the world changes and because of the commodity pressures, pricing starts to move up in our categories, we would welcome that. And we would be clearly amongst the first to take full advantage of that, so we can build businesses by traditional marketing means, at the same time, as we're building top line and bottom line value. So if that's the final question, I thank you all for your participation. We very much look forward to coming back and talking with you at the end of the first quarter and giving you a progress report on the company. So thank you, and thank you to all of the Colgate people around the world.
Operator: This concludes today's conference. We appreciate your participation.